Operator: Good morning and welcome to KeyCorp's Third Quarter 2020 Earnings Conference Call. As a reminder, this conference is being recorded. I would now like to turn the conference over to the Chairman and CEO, Chris Gorman. Please go ahead.
Chris Gorman: Well thank you operator and good morning and welcome to KeyCorp's third quarter 2020 earnings conference call. Joining me for the call today are Don Kimble, our Chief Financial Officer; and Mark Midkiff, our Chief Risk Officer. Slide 2 is our statement on forward-looking disclosure and non-GAAP financial measures. It covers our presentation materials and comments, as well as the question-and-answer segment of our call. I'm now turning to Slide 3. As you saw in our press release this morning, we reported third quarter earnings per common share of $0.41. Our EPS was more than double that which we reported in the prior quarter and up from the year ago period, which was impacted by notable items. Despite the challenging environment, we generated pre-provision net revenue of 1.9 billion and added 1 billion to our reserve for credit losses through the first nine months of this year. Revenue in the third quarter was up 3% from the year ago period. Our net interest income continues to reflect the low rate environment, elevated liquidity, and changes in balance sheet mix. Average loans reflect strong performance from consumer mortgage and Laurel Road, offset by paydowns of consumer line draws that were made earlier in the year. Our consumer mortgage business generated funding volume of more than 2.3 billion this quarter, which was up more than 75% from the year ago period, and 5% from last quarter. Over one half of our originations were purchase mortgages. Our pipelines remained strong and we expect to show sustainable growth and continued market share gains. Laurel Road continues to originate high quality loans that provide us with an opportunity to build broader digital relationships with these targeted clients. In the third quarter, Laurel Road originated over $400 million. We believe that both Laurel Road and consumer mortgage will continue to be relationship-based growth engines for our consumer business. With our strong consumer platform, we have decided to discontinue originating indirect auto loans. The current portfolio of approximately 4.6 billion will run off over time. Now let me turn to fee income. We had another good quarter. Non-interest income was up from the year ago period, reflecting stronger than expected performance. Investment banking and consumer mortgage had another solid quarter. Cards and payments and service charges on deposit accounts both posted strong linked-quarter increases. Don will discuss our revenue outlook in his remarks. We believe we are well-positioned to continue to grow both our commercial and consumer businesses. Our expenses this quarter reflect higher variable costs related to cards and payments activity and production-related incentives, as well as elevated pandemic related costs associated with keeping our teammates and our clients safe. Through our continuous improvement efforts, we are maintaining our focus on expenses, improving our efficiency while continuing to invest for growth, particularly our digital capabilities across the franchise.  Credit quality remains solid this quarter as we have remained true to our moderate risk profile throughout the cycle. Net charge offs for the quarter were 49 basis points. In the deck, we have updated our disclosure on commercial portfolio focus areas. Don will cover these focus areas in his comments, but I will just say that these portfolios have generally performed consistent with or better than our expectations. The quality of our loan book is also reflected in the level of loan deferrals. Last quarter, our deferrals were the lowest in our peer group, based upon public disclosures. As of September 30, loans subject to forbearance terms were less than 2% of total loans. That's down from 4.3% at June 30. This equates to less than 1% of clients in both our commercial and consumer businesses. In the third quarter, our provision expense exceeded charge offs by $32 million. Our allowance for credit losses as a percentage of period end loans now stands at 1.88% or 2.04%, excluding PPP loans. Finally, we have maintained our strong capital position while continuing to return capital to our shareholders. In the third quarter, our common equity tier one ratio increased to 9.5%, which is at the upper end of our targeted range of 9% to 9.5%. In September, we paid a common stock dividend of $0.185 per share, the same amount we paid in the second quarter.  I will close by restating that this was another good quarter for Key, which demonstrates our underlying strengths. It starts with our dedicated team and their unwavering commitment to first and foremost our clients being very targeted about where we can compete and where we can win. Next, costs, maintaining a strong focus on expenses while investing for the future, a big part of this investment going forward will continue to be digital. Credit: continuing our strong risk management practices. And lastly, capital, focusing both on the return on and the return of capital. I am confident in our ability to manage through the current environment and over time achieve our long-term financial targets. And importantly, deliver value for all of our stakeholders. Now, let me turn the call over to Don to go through the results of the quarter. Don?
Don Kimble: Thanks, Chris. I'm now on Slide 5. As Chris said, we reported third quarter net income from continuing operations of $0.41 per common share. Results also reflected momentum across our businesses, including growth in our balance sheet and fee income as well as continued strong risk discipline and capital management. I will cover many of the remaining items on this slide in the rest of my presentation. So turning to Slide 6, total average loans were $105 billion, up 14% from the third quarter of last year driven by growth in both commercial and consumer loans. Commercial loans reflect an increase of over $8 billion from PPP loans. Consumer loans benefited from continued growth from Laurel Road, and as Chris mentioned strong performance from our residential mortgage business. Laurel Road originated over $400 million of student consolidation loans this quarter, and we generated $2.3 billion of consumer mortgage loans. The investments we have made in these areas continue to drive results and importantly add high quality loans to our portfolio. Linked-quarter average loan balances were down 3%, reflecting paydowns from the heightened commercial line draws earlier this year. The paydowns on the lines were greater than expected, and now the utilization rate is below the start of the year. Importantly, we have remained disciplined with our credit underwriting and have walked away from business that does not meet our moderate risk profile. We remain committed to performing well through the business cycle, and we manage our credit quality with this longer-term perspective. Continuing on to Slide 7, average deposits totaled $135 billion for the third quarter of 2020, up $25 billion or 22% compared to the year ago period and up 5% from the prior quarter. The linked quarter increase reflects broad based commercial loan growth, excuse me, the commercial deposit growth, as well as growth from consumer stimulus payments and lower consumer spending. This growth was offset by a decline in time deposits, primarily related to lower interest rates. Growth from the prior year was driven by both consumer and commercial clients. Total interest bearing deposit costs came down 20 basis points from the prior quarter, reflecting the impact of lower interest rates and the associated lag in pricing. We would expect deposit costs to continue to decline about 6 basis points to 9 basis points in the fourth quarter. We continue to have a strong stable core deposit base with consumer deposits accounting for over 60% of our total deposit mix. Turning to Slide 8, taxable equivalent net interest income was $1 billion for the third quarter of 2020, compared to $980 million a year ago and $1.025 billion for the prior quarter. Our net interest margin was 2.62%. for the third quarter of 2020, compared to 3% for the same period last year and 2.76% for the prior quarter. Both net interest income and net interest margin were meaningfully impacted by the significant growth in our balance sheet in the third quarter of 2020. The larger balance sheet benefited net interest income that reduced our net interest margin due to the significant increase in liquidity driven by strong deposit inflows. Compared to the prior quarter, net interest income decreased $19 million, driven by lower commercial loan balances. The net interest margin was primarily impacted by continued elevated levels of liquidity. Elevated liquidity levels negatively impacted the margin by 13 basis points, with all other drivers netting to an additional 1 basis point of pressure on the margin. The lower than expected commercial loan balances contributed an additional 5 basis points of margin compression. Recently, we've received several questions about the future impact of our interest rate swap maturities on our net interest margin. On Slide 20, in the appendix, we provide a schedule that details maturities of our swaps. Also, it is important to understand that this portfolio is only one of the fixed rate asset classes, as all banks are impacted by maturities of fixed rate loans and investment securities. We also show on this slide that our level of these assets combined as a percentage of total earning assets is in line with peers. Moving on to Slide 9, our fee-based businesses had another strong quarter. Non-interest income was $681 million for the third quarter of 2020, compared to 650 million for the year ago period and 692 million in the second quarter. Compared to the year ago period, non-interest income increased $31 million. The primary driver was an increase of $35 million in consumer mortgage business as we continue to grow the business and see record levels of origination. Cards and payments income also increased $45 million related to the prepaid card activity from the state government support programs. Compared to the second quarter of 2020, non-interest income decreased by $11 million. The largest driver of the quarterly decrease was $22 million dollars of lower operating lease income as we had gains on leveraged leases in the prior quarter, which impacted the quarter-over-quarter comparison. Consumer mortgage income was down $11 million, filing a record quarter for related fees in the second quarter. These were partially offset by an increase in cards and payments related income and higher service charges on deposit accounts. Though down quarter-over-quarter investment banking and debt placement fees had another solid quarter given the volatile environment come in at $146 million for the quarter. I’m now turning to Slide 10. Total non-interest expense for the quarter was $1.037 billion, compared to $939 million last year and $1.013 billion in the prior quarter. The increase from the prior year is primarily related to $52 million of payments related costs, reported another expense, as well as COVID-19 related expenses to ensure the health and safety of our teammates. Higher personnel costs from the year ago quarter reflect lower deferred loan origination costs, merit increases, and higher employee benefit costs. Compared to the prior quarter, non-interest expense increased $24 million. The increase was largely due to higher payments related costs, as well as personnel costs related to elevated employee benefits, primarily healthcare, which was up $15 million last quarter. Moving on to Slide 11. Overall credit quality remains solid. For the quarter, net charge-offs were $128 million or 49 basis points of the average loans. Our provision for credit losses exceeded net charge offs by $32 million or $0.03 per share. Non-performing loans were $834 million this quarter or 81 basis points of period in loans compared to $585 million or 63 basis points from the year ago quarter. Additionally, delinquencies actually improved quarter-over-quarter, a 6 basis point decrease in our 30 to 89 day past dues and the 90 day plus category also declining quarter-over-quarter. We continue to monitor the level of assistance requests we received from our customers. Over the past quarter, the number of requests for loan for balances have decreased dramatically. As of September 30, loans subject of forbearance were less than 1% based on the number of accounts for both commercial and consumer loans, and less than 2% when using outstanding balances. Turning to Slide 12. As Chris mentioned, we updated our disclosure that highlights certain portfolios that are receiving greater focus in the environment. These areas represent a small percentage of our total loan balances. Each relationship in these focused areas continues to be subject to active reviews and enhanced monitoring. Importantly, as a group they continue to perform consistent with our expectations. Turning to Slide 13, we had shared a summary of our deferrals compared to peers at our recent Investor Conference. As shown here, our deferral level was peer leading in the second quarter. As noted earlier, we have seen a dramatic reduction in the deferral levels during the third quarter. Now on to Slide 14. We have continued to maintain a strong level of capital. We ended the third quarter with our common equity Tier 1 ratio of 9.5%, up 40 basis points from 9.1% in the second quarter. This places us at the upper end of our target range of 9% to 9.5%. We believe that this provides us with sufficient capacity to continue to support our customers and their borrowing needs and return capital to our shareholders. In the third quarter, we paid a common dividend of $0.185 per share, which was consistent with our second quarter level. Importantly, over the last four quarters, beginning with the [fourth quarter] of 2019, we have earned $1.14 per share well above our current dividend run rate of $0.74 per share. On Slide 15, we have provided our outlook for the fourth quarter. We expect average loans to be down low single digits reflecting lower period imbalances coming into the fourth quarter. Consumer loans should continue to grow. We expect deposits to remain relatively stable. Core net interest income should increase low single digits with a relatively stable net interest margin, reflecting the expected [benefit of] repayment of PPP loans. The benefit of repayment is estimated to be $20 million to $25 million. Non-interest income in the fourth quarter will remain relatively stable, reflecting an expected decline and a consumer mortgage offset by growth in investment banking and debt placement fees. Non-interest expenses are expected to be down low single digits that are highly dependent on the level of variable costs, including production related incentives. Net charge-off is expected to be in the 55 basis point to 65 basis point range next quarter. And finally, shown on the bottom of the slide, are our long-term targets. On a reported basis, we will not achieve all the targets this year, as we emerge from the pandemic and the economy strengthens, we expect to be back on the path that would lead us to operate within all of our target ranges. With that, I'll now turn the call back over to the operator for instructions of the Q&A portion of our call. John?
Operator: Thank you. [Operator Instructions] And first, go to line of Scott Siefers with Piper Sandler. Please go ahead.
Scott Siefers: Good morning, everyone. Thank you for taking the question. Hi. Let's say, Don, maybe wanted to ask first just on the decision to stop originating indirect auto, so the $4.6 billion that'll run off, how long is it going to take for those to run up? I'm imagining three years or less. But I guess more importantly, do you guys feel like you can outrun that run-off and still generate net growth? For example, you know, via mortgage and Laurel Road where you’ve got strong origination outlooks?
Don Kimble: Sure, Scott, the average life of that portfolio was about 2.5 years. So, it will take probably in total about 5 years before it fully runs off. So, we will see declines each year in those balances. And Chris can highlight a little bit more as far as the rationale and thoughts as far as the exit of those originations, and also why we're excited about the consumer loan origination capacity we can generate now, so.
Chris Gorman: So, Scott, you know, we've talked a lot about relationships, we've talked a lot about targeted scale, and frankly the indirect book was from a quality perspective, it's just fine. From a return perspective, obviously, you can't generate the kind of relationship returns that we would expect because it's a single product. Conversely, as you look at our consumer business, you know, as you well know, two years ago we really didn't have a mortgage business. This year, we’ll originate more than 8 billion. Two years ago, we didn't have a Laurel Road business. This year will generate more than 2 billion, and we have big plans, obviously to continue to grow both of those. So, the premise of your question, do we think we can outrun it in our consumer business? We do, and we think we can do it on a relationship basis, and really use our capital to support our clients or for other things, whether it's stock buybacks or whatever that we think are better use of capital.
Scott Siefers: Alright, perfect. Thank you. Thank you very much. I appreciate that. And then separately, just sort of a top level question, you know, now that, sort of – coming out of the worst of the pandemic, you know, a lot of banks are going to be kind of applying lessons learned from, you know, ability to operate without the same sort of infrastructure, just curious how you guys are thinking about the branch footprint, if you might see any opportunities for something broader to do on the cost side here as we sort of stare down a challenging revenue environment for the next couple of years?
Chris Gorman: Sure, Scott. We think the pandemic certainly accelerated some trends that were already there. Just to give you some texture, you know, when we bought First Niagara, we had 1,600 branches. Today, we have 1,077. We've invested heavily in digital. Our digital take up – you know, more than 60% of our customers are now digitally active. And so, we actually think there is a significant opportunity to take a look at the fleet, and we're in the final throwes of planning that, and you – we’ll have more to say on that in January. But in addition to some other things that are fundamental changes, we do think there'll be a change in kind of how we look at the density of our branches. And as you know, we're in some fast-growing areas where we have relatively thin branch footprints and we think we can replicate that and get the mix right of digital and physical in other parts of our franchise.
Scott Siefers: Okay, perfect. Alright. So, I’ll stay tuned until January then. Good. Alright. Well, thank you. I’d appreciate it.
Operator: Our next question is from Ken Zerbe with Morgan Stanley. Please go ahead.
Ken Zerbe: Hey, thanks. Don, you mentioned that you expect the $20 million to $25 million of PPP accelerated amortization in fourth quarter. I think you're actually one of the only banks that I've heard of so far, at least, that's building that in. I think most are looking at first quarter. Has the SBA actually opened up the portal or the forgiveness portal? And are they approving loans or is this sort of a question mark in terms of whether or not it actually goes into fourth quarter and not based on the SBA?
Don Kimble: No. We were hearing earlier that several other banks were using the same type of assumptions or if not even more aggressive as far as the prepayment. But the SBA has opened. We've actually started to see some of the requests from customers go through and actually get funded here recently, too. So, it still is more of a trickle, but we're starting to see volumes and activity levels pick up, and that's what gives us the basis for our outlook.
Ken Zerbe: Okay, that's great. And then, the other question I had, I guess, what are you guys planning to do with the excess liquidity on the balance sheet? Like, how quickly can you deploy? Do you want to deploy it? You know, where's it going into? Thanks.
Don Kimble: Yeah. We've been looking at all different kinds of uses of that and whether or not we can put it to better use than just sitting in cash. Our challenge right now is that we tend to keep a fairly conservative investment portfolio and really don't want to venture into credit risk in that area. And so, the returns on similar type of agency securities that we would invest in are right around the 100 basis points. And so, we'll continue to assess that to see if we lean into that a little bit more. I would say that we, on a trial basis, started to do – buy some longer dated assets and put some forward starting swaps against that that will convert that asset to a variable rate, say, five years down the road, which is better aligned with our overall strategy and risk profile. And so, we'll consider doing things like that. But near term, I think we will continue to see elevated levels of liquidity, including cash and treasury bills just because we feel that that's more prudent for us to do in this environment.
Ken Zerbe: Alright, great. Thank you.
Don Kimble: Thank you.
Operator: And next, we'll go to Erika Najarian with Bank of America Merrill Lynch. Please go ahead.
Erika Najarian: Hi, good morning.
Chris Gorman : Good morning.
Don Kimble: Good morning.
Erika Najarian: My first question is for you, Don. I think that investor conversations have turned from, you know, simply credit to thinking about banks on a normalized return basis. And so, as I think about the progression of net interest income from that [$1.06 billion], so if we exclude PPP, any PPP impact, I’m wondering if you could help us in terms of, you know, the walk to, you know, what the quarterly run rate could look like in 2021 ex-PPP because, you know, obviously, the run-off of the indirect portfolio is new news versus, you know, your high cash levels that Ken just mentioned that you could possibly redeploy versus I think there's a $40 million swing in hedge income contribution from this quarter to perhaps fourth quarter of 2021? So, any help you can give in terms of, you know, how we think about where your net interest income could bottom, and you know, of course not assuming any loan growth or any changes in the rate environment?
Don Kimble: You know, we'll provide more specifics on 2021 in January. I would say that as far as some of the moving parts that you're right, that our swap portfolio will continue to mature over time. I would say that as we highlight on Slide 20 that there are a number of fixed rate type of asset classes, including the swaps, the loan portfolio, and also the investment portfolio. And I would say that as we look at how we're positioned compared to others, we think that we're right in line with peers as far as that relative mix – as far as fixed rate assets. As we look at going forward, we think that our margin will probably bottom out something fairly close to where we're at today with over time having a redeployment of some of that liquidity into other loan categories, whether it's consumer or at some point in time seeing some commercial loan growth back up again. And so, the pressure from these rates and the impact on the maturity and the rollover of those fixed rate asset classes would be offset by the utilization of some of those liquidity sources. And so, that would include in that outlook some reinvestment of or, excuse me, prepayment of those PPP loans.
Erika Najarian: Got it. And just a follow up question, and maybe this one – this is for Chris. You know, clearly in 2020, it was an exceptional year. As we think about 2021 and you sort of teased out a potential announcement and are thinking about infrastructure and branches for January. You know, if you think – as you weigh the revenue headwinds with efficiency opportunities, do you think KeyCorp can get back on positive operating leverage track next year?
Chris Gorman: I do. I do. And, you know, continuous improvement, Erika, is part of our culture. Each year, we've taken out sort of 3% to 5% and used that as raw material to invest and we will continue to do that. I think there's some fundamental changes in the way banking is done and I am confident in both the trajectory of our earning streams and also our ability to manage our expenses. You know, we do have kind of a unique situation this quarter and that half of the year-over-year increase is attributable to prepaid cards. I'm not saying that that's completely non-recurring, but I will say that we've invested a bunch of time, energy, people and technology to tamp that down. So, the answer to your question is yes.
Erika Najarian: Great. Thank you.
Chris Gorman: Thank you.
Operator: And next, we’ll go to the line of Matt O'Connor with Deutsche Bank. Please go ahead.
Matt O'Connor: Good morning. 
Chris Gorman : Good morning. 
Matt O'Connor: I just want to follow up on the exit of the indirect auto. I mean it’s not that big of a deal, but it's also a portfolio that you've been growing, I think pretty nicely, you know, just in the past years here. I think that was kind of one of the strategic additions you got from First Niagara. So, I'm just wondering, like, has something changed in the marketplace in the last, you know, three or six months? Or let me just elaborate on kind of the timing now, especially at a time when, you know, there's just not a lot of loan growth for the industry overall?
Chris Gorman: So, Matt, the real timing is we've now successfully, from a standing start, built the Laurel Road platform and our [mortgage] platform. When we acquired First Niagara in 2016, we really didn't have an engine for consumer loans and it was a good bridge. It being, indirect auto was a good bridge, but we've always stayed pretty true to the notion that we're a relationship bank and we're focused on targeted scale where we can be relevant. And as we look at that portfolio, in conjunction with the returns, it just didn't achieve what we wanted it to do vis-à-vis investing our capital elsewhere. Now, in terms of anything changing in the market, this isn't what drove the decision, but as you know, the automobile market right now is very hot. Our analysts’ thinks that sales at retail next year will be up like 9.5%. The value of used vehicles right now, because of shutdowns due to COVID-19 are up 15% or 20%. That's not what drove the decision, but that is a fundamental macro driver that's out there.
Matt O'Connor: And then, I understand how mortgage is a relationship product, but just reminder us on Laurel Road? How you’ve transform that into more of a relationship product versus kind of a one-off? 
Chris Gorman: Sure. So this is something that we're frankly very excited about. We're building a national digital bank and it's going to be focused on healthcare professionals. And so, we've already obviously built the loan consolidation business, that's all digital. Then in many cases, within six months, something like 50% of those customers that refinance their doctor and dental school loans, buy a home. We've now built a complete digital mortgage application. And where we can take it from there is, on a national basis, to be really focused, Matt, around doctors and dentists in terms of opening accounts, et cetera. And that will open up then the opportunity for us, in the case of dentists most, because they're mostly independent business people as opposed to doctors who are part of large groups. That will give us an avenue to do a lot with them. So, we see Laurel Road as a platform that we've grown a lot. It's been – it's achieved everything we hoped it would and we think there's a lot to do on top of it. And then, one other area where we could potentially focus is expand beyond doctors and dentists, but within healthcare. Healthcare, as you know, is – you know, 18% of the GDP [go into 20, kind of 4 trillion go or 6 trillion go into 8 trillion]. So, that's how we're thinking about it.
Matt O'Connor: Okay. Thanks.
Operator: [Operator Instructions] And next, we’ll go to Gerard Cassidy with RBC. Please go ahead.
Gerard Cassidy: Good morning, Chris. Good morning, Don.
Chris Gorman: Good morning
Don Kimble: Good morning
Gerard Cassidy: Can you guys share with us – I think you mentioned on the call that you're at the top-end of your capital guidelines of 9.5%. We know the share repurchase programs have been temporarily suspended by the Federal Reserve at least through the end of the year. Can you share with us your thinking of share repurchases for 2021 and where you'd like to bring that capital ratio down to? And because the change in the stress test where the Fed does not approve any longer a bank’s plan to buy back stock or pay a dividend as long as you surpass the required minimum capital ratio, you've got, you know, the latitude or the optionality to kind of do the buyback the way you see it fit. So could you give us some thoughts on, could you ever consider a Dutch option if, you know, this suspension goes into the second half of next year in your capital ratios in the high nines to do one big buyback at one time to bring down the capital ratio?
Don Kimble: Gerard, this is Don, and as far as the share repurchases, we feel very good about where our capital position is today. I would say to your points that we would expect that the capital ratios to continue to increase as long as we're not buying back shares. And so, we highlighted that we're up 40 basis points as far as the consideration for when we would be back in the buy shares that we'd want to have a little bit better clarity as far as the clear direction on the economy and where that's heading and making sure that we continue to have the capital to support our customers, support our organic growth and continue to support the dividend. And so, those would be priorities for us above just the share buyback. One other potential consideration is that with the impact of the CECL accounting change and how it impacts our capital ratios, there's about a 30 basis point or so impact that we'll see over time there as well, but we do feel very good about where we're at from a capital perspective. I do believe that it will increase, and if available and things allow and permit, we could consider adjustments that would allow us to probably more proactively manage that overall share count with either a large share repurchase program or market purchases like we've done in the past.
Gerard Cassidy: Very good. And then, circling back to credit, obviously, Key in the past has had issues with credit during a recession and I know it's been a goal of management to prove to investors that's not going to be the case in this cycle. If we exclude, for a moment, the change in mix of your portfolio today versus what it was like in 2007 and you take a look at, obviously, the government fiscal programs that have been implemented to help people through this downturn, what are you guys seeing today that really strikes you is different than what you've seen in the past on the behaviors of your borrowers?
Don Kimble: Yes. Maybe I'll go ahead and start, Gerard, and Chris and Mark might have some thoughts to add to that. But I would say this is the biggest difference that I would see and this was just coming in the midstream in this. But the – Key really has pivoted to a relationship strategy. And if you take a look at where the portfolio was before the last crisis, it was more transaction oriented as opposed to relationship. And so, we had outsize exposure and some commercial real estate developers and it was more on the project as opposed to an ongoing steady stream of cash flow for us. And so, I'd say that the migration to that relationship strategy is having a huge payback for us. On the consumer side, we're following similar trends, and it's a very high quality, very consistent portfolio, and as we’ve talked earlier, we really want to continue to have that more on a relationship type of approach as opposed to transactions. I don’t know, Chris, what would you add to that?
Chris Gorman: No. What I would add, it's been a 10-year journey. After the financial crisis, we sat down and evaluated where we lost money, how we lost money, and it – basically it was principally in real estate. It was project-level real estate. It was where we didn't have a deep relationship. In some cases, it was business that was indirect business, third-party business. And we went about the business of de-risking our portfolio and we have been disciplined enough that we have foregone revenues such that we could position ourselves so we have the capital and the ability to support our clients and targeted prospects in an environment like this. The other thing I would just remind everyone of is, of the capital we raised for our customers, Gerard. You know, only 18% of it goes onto our balance sheet, and so, that too is something that I think is unique for us and that we can serve our clients without necessarily putting it on our balance sheet, but it's – you're exactly right, it's been a long journey.
Gerard Cassidy: Great, thank you.
Don Kimble : Thanks, Gerard.
Operator: Our next question is from the line of Bill Carcache with Wolfe Research. Please go ahead.
Bill Carcache : Thank you. Good morning, Chris and Don. Thanks for the disclosures on Slide 20. I wanted to ask about the hedging program run-off on the bottom right hand side of the slide. Is the right way to read this chart that if we multiply the weighted average yield by the notional value of the on and off balance sheet hedges we get the quarterly contribution from the hedging program. And if so, it looks like the declining hedging benefit would translate into $160 million headwind in 2021 and $114 million headwind in 2022. Is that the right thought process?
Don Kimble: I would say that this assumes that we have no replacement of the slots going forward. So this is just a run off of the existing book. And so, depending upon where the yield curve moves and how that would reposition, we could see some differences there. And then, also it would assume that we're taking no other actions on balance sheet to minimize or mitigate some of that impact.
Bill Carcache: Understood. And if I may, just as a follow-up, so beyond the hedging portfolio run-off, can you discuss a little bit maybe just some color on the front book, back book dynamics, if the low rate environment persists? Maybe just give us a sense of how much you're receiving in paydowns of back book loans and securities that would have to get redeployed, and you know, what the yield differential is between new money rates, you know, now and what's coming off?
Don Kimble: Sure can. Generally our loan portfolio has an average life of about three years and so to just use that as a proxy for, kind of a roll-off that we would have on the portfolio and re-pricing. If you take a look at our C&I and most of our commercial portfolios, they tend to be LIBOR based. I'd say that the spreads on new originations are fairly consistent overall with what the back book would have and not seeing a lot of change in that overall re-pricing for that portfolio.  We have seen a little bit more acceptance of [some floors] that have been placed on the products, and so, that will be helpful for us going forward. But that book has a general rule. It doesn't have a lot of re-pricing or risk from that perspective. If you look at some of the fixed rate portfolios, residential mortgage, it's a fairly new portfolio for us. We are seeing growth there that I think that the current yield on that portfolio on balance sheet is around a [350 or so] as far as residential. Current production is closer to a 3% kind of overall yield for that portfolio. So, a little bit below current average rate, but not significantly different. As far as some of the other consumer categories, whether it's a home equity or Laurel Road student loans or some of the other categories, we're looking at probably about a 80 basis point or so gap between what the existing portfolio is compared to what the legacy book is on that side. For the investment portfolio that – for the core portfolio, excluding the treasury bills that we've been adding as far as some of the excess liquidity position, we're seeing a roll-off of those yields around the 240 and a replacement yield of around a 1%, so about 140 basis points of shift there. Keep in mind too, that, as we highlighted on the deposit side, we're expecting to see our average interest bearing cost of deposits decreased by 6 basis points to 9 basis points in the fourth quarter and we should see some additional opportunities for benefit there going forward as well, and so, probably at a slower pace, but still helping to offset or minimize some of the exposure there.
Bill Carcache: It's super helpful. Thank you for all the additional details.
Don Kimble: Thank you.
Operator: And next, we’ll go to Ken Usdin with Jefferies. Please go ahead.
Ken Usdin: Hey, thanks. Guys, I was wondering if you can dig in a little bit more on the outlook for loans. So obviously, not surprising to see the declines this quarter from the paydowns and you mentioned that loans will continue to detract going forward a little bit, but what do you see in terms of just any change in improvement and activity on the manufacturing side, on inventory, et cetera, that we might look forward and start to see a point of stabilization? Some others are even wanting to grow, so just your broader outlook on the potential inflection on loans? Thanks.
Chris Gorman: Yes, Ken. It’s Chris. Good morning. So there's no question that as we look at our C&I book, the utilization is below where we would have thought it would be right now. It's frankly below the beginning of the COVID-19 crisis. I think there's a few things that can serve as a driver to loan growth on the C&I side. One is an inventory rebuild, and as the economy ramps up – I mean, to state the obvious, as the economy ramps down, these companies throw off a lot of cash; as it ramps up, they consume cash. I think that could give us an opportunity as well. The other thing that is going on, you know, M&A discussions, you know, in the beginning of the second quarter were non-existent. As we look at what are the discussions we're having with our customers day-in and day-out, I think people are really starting – you won't see it in the fourth quarter, but people are really starting to think strategically. Just this week, I met with three clients and they are in areas that you would think that might still be hunkered down and they are really starting to think strategically. So, I think the levers on the C&I book will be transactional, but even before transactional, you know, I'd like to see obviously, some greater utilization. I think those are a couple opportunities.
Ken Usdin: Okay. And then, on the follow-up to that on the corporate activity side, I just wondering if you could talk a little bit more about the pipeline for investment banking and what the mix of investment banking, you know has been in terms of like the public versus private in CRE markets? Like is any of that kind of back to a normal or still have, you know, good pipelines ahead, if you could fill that in to? Thank you.
Chris Gorman: Sure. So as we look forward, I would describe the pipelines as solid. The real variable was our M&A business, which is a strong business, which basically, you know, was non-existent, as I mentioned, kind of in the second quarter. Our backlogs now, Ken, in M&A are equal to what they were going into the crisis, and obviously, a lot of deals went away. So, I find that to be encouraging. As I look at our fees, you know, this quarter, we were about at $146 million. I believe we’ll be up in the fourth quarter. I don't think it'll be at the record, Ken. We've had $200 million quarters before. I don't think we'll be at $200 million, but we'll certainly be somewhere between $146 million and $200 million. The pipelines are solid. The real estate commercial mortgage business is, obviously, in this rate environment, continues to be pretty strong.
Ken Usdin: Thanks, Chris.
Operator: And next, we'll go to a John Pancari with Evercore ISI. Please go ahead.
John Pancari: Good morning.
Chris Gorman: Good morning.
Don Kimble: Good morning.
John Pancari: I want to see if we can get some incremental color on risk of migration this quarter with a 24% increase in your criticized assets. Just want to see if you can give us a little bit of the granularity on what drove that migration and what asset types? And then, also is that increase in criticized reflected at this point in your existing loan loss reserves? Thanks.
Don Kimble: Sure. I'll go ahead and answer the last part of that question first, and then, Mark can help provide some of the clarity as far as migration. But as far as our loan loss reserve that we established at June 30, and now it's September 30, keep in mind, under CECL that you're looking for the life of loan type of losses. And so, embedded in there is the assumption that you're going to see migration into criticized and classified and increase losses throughout the next several quarters. And so, those were all baked into both June 30 and September 30. If we look at where we're at today, whether it's criticized, classified, charge-offs and non-performing, we're actually better [at September 30] than what our models would have assumed as of June 30 for this first quarter of that time period. And so, we're actually seeing better credit quality migration than what would have been expected and contemplated as part of our June 30 reserves. Mark?
Mark Midkiff: Yes. 
Don Kimble : [Indiscernible] areas of that migration.
Mark Midkiff: Yes. That [indiscernible] done better than what we would have forecasted on the migration. And the drivers really are the same things you're seeing in the focus areas in the disclosure. So, the consumer business is – so consumer discretionary, consumer services, you know, the oil and gas business, some transportation, so it's really those are the drivers that we see.
John Pancari: Okay. All right, thanks. And then, another question just on credit, if you – you know, it sounds like you're confident in the adequacy of where the reserve stands now. So, if the charge-off continues to rise as they did this quarter, for the fourth quarter and beyond, would you expect that you would under provide for those charge-offs?
Don Kimble: We've talked before about how the CECL works, and really there's three drivers to it. One is what's the economic outlook. And so, I would hesitate to try to speculate or guess as to what that will be as of December 31, given the environment that we're in and given how election is right around the corner as well. But that will clearly impact the overall reserve levels. And if I look at between the second quarter and the third quarter assumption sets, what we saw as far as that economic outlook was probably a better near-term performance was actually realized in the September summary than what we would have assumed in the June summary. But longer-term, the recovery rate was a little slower. So, unemployment levels remained a little bit higher in our September 30 [and GDP] level, our recovery was a little slower than what we would have assumed. And so, generally maybe a little bit slight negative as far as the overall impact there. And so, first is economic outlook. Second would be migration of the portfolio that – as we just talked about that our loss models that are used for CECL will assume that the portfolio goes through a specific migration based on the economic outlook. And so, if you perform better or worse in that migration, you would see a need to either increase or decrease the reserves. And then, the third would be the new loan production. And as we highlighted last quarter on the call, normally, for a loan production that would imply a provision expense of $80 million to $100 million a quarter versus the $160 million that we had this quarter. And so, that's elevated compared to what we normally would have expected as far as just matching the loan production. This quarter, what we did do was to actually supplement what our quantitative models would have produced. And so, we added about $100 million between model overlays and also our qualitative assessment to the reserve to bump up the reserves just to make sure that we weren't recognizing too quickly the benefit of that migration and given the economic uncertainty that we're still facing right now. And so, we think that was a prudent thing for us to do and we would have seen a lower level of provision if we had not had done that this quarter.
John Pancari: Got it. All right. Thanks, Don. That's very helpful.
Operator: Our next question is from Mike Mayo with Wells Fargo Securities. Please go ahead.
Mike Mayo: Hi, just in simple terms, why did you guys build reserves this quarter when many of your peers didn't? And where do you think charge-offs 49 basis points in the third quarter peak? And when do you think that happens? 
Don Kimble: Sure, as far as the building reserve, I say it's fairly modest and what we wanted to do was to make sure that we weren't taking credit too early, as far as the better than expected migration and also uncertainty on the overall economic outlook. And so, we felt that was appropriate to do. Last quarter, we were being challenged as to whether or not our reserves were adequate. And we still are a little low compared to peers as far as the reserves. And so that also influenced our assessment as to whether or not we want to show reserve declines this quarter. And so we decided to go in and layer on top of that some additional model overlays, and also qualitative reserves. And so, if you look at our total allowance for credit losses, Mike, it's at 1.88%. And if our average loan life is roughly three years, that would imply charge offs around 60 basis points for some time, and I would say that as we take a look at what our projections would have, we would probably see some continuing [indiscernible] increases through the middle of next year, and that would probably be the peak and then start to trail off again.
Mike Mayo: So the peak would be like double or 70, or 80 or? I mean, I know, not many have given this, but some have.
Don Kimble: I would say that it would be elevated a little bit from the 49 basis points, and we're talking about 55 to 65 next quarter. Do they go up a little bit from there, yes, but their probably not doubling from here.
Mike Mayo: Okay, and then the tougher question. So, 2% of your loans are in forbearance and you said that's down significantly, I guess that's 1.6 commercial, 2.3% consumer. If the music were to stop today, because at some point, you'll start with the forbearance, what would be the impact on charge-offs and revenues?
Don Kimble: As far as charge offs, I mean, one we've already built in extra reserves for those loans are in forbearance. And so I think that's an appropriate consideration there. Two, if we look at the forbearance and especially on the commercial side, we're not just automatically granting forbearance. We've got to work with the customer and make sure that we understand that this truly is a bridge for them on an interim basis and this isn't just a delay of the inevitable. And so, we are taking a look at credit quality without the full benefit of that forbearance. I would say that on the consumer side, even though we have loans in forbearance, we're still very happy with the quality of that underlying customer base, but still have consumers that will eventually have the capacity to continue to repay that the collateral values for those products, whether it's a home equity or residential mortgage are still quite strong. And so, I wouldn't see that as a significant impact as far as either charge offs or P&L for us as those would mature. Mark, [want to share your thoughts here]?
Mark Midkiff: Yeah, I'd say the same, and they do continue to come down. And we – also what rolls off of and exits we're seeing really high current rates, you know, sort of 96%, 97% or higher. So, seeing good performance.
Mike Mayo: And if I can just squeeze in one more, Chris, acquisitions, bank acquisition, the environment, I mean the competitors are under pressure, the industry is rather under pressure. What's the appetite?
Chris Gorman: So, as you know, we've been successful in acquiring niche businesses and I think you can expect us to continue to look at those. I'm really proud of the fact that we've been able to acquire, you know, born digital companies and successfully integrate those investment banking boutiques and integrate those. In terms of whole bank acquisitions, that's not really a focus of ours, Mike. We think we have everything we need to be successful. And we think the right strategy is to execute our strategy to create value for the shareholders.
Mike Mayo: All right, thank you.
Chris Gorman: Thank you.
Operator: Our final question will be from Steve Alexopoulos with JPMorgan. Please go ahead.
Janet Lee: Good morning. This is Janet Lee on Steve. Of the 23 million quarter-over-quarter increase in card and payment income this quarter, what percentage of that is from the prepaid card activity supporting state government programs that is going to start winding down in 2021? And also, can you comment on the level of organic spending and transaction volumes during the quarter, excluding the prepaid card activity? Thanks.
Don Kimble : Sure, can. As far as the percentage increase, I would say the majority of the increase in that cards and payments related revenues was related to the prepaid card activity. Keep in mind also that we saw a similar increase in the expense was linked quarter and so the earnings risk for that is nominal as far as a change is on that front. As far as the activity for other card balances that – I would say that in the third quarter, we're seeing levels that are fairly comparable to what we would have seen as far as spend on both the credit card and debit card, and maybe transaction counts might be a little lower on debit card, but the average ticket size is a little higher. And so, we're seeing getting closer to return to normal. I don’t know, Chris any thoughts there?
Chris Gorman: No. Obviously, the mix has changed a bit there's – people aren't traveling, people aren't going to restaurants, but in the third quarter it actually the spend eclipsed that of the third quarter of last year.
Janet Lee: All right, that's helpful. And my follow up is on the deferral. On your 1.8 billion loans on deferral, how much of that is on loans and COVID-19 exposed categories, and which industry are you seeing the highest fee deferral rates?
Don Kimble: Mark, do you have thoughts on that, as far as, I would say generally that we're seeing a higher percentage in those industries, but I don't know that there is any one section.
Mark Midkiff : One that kind of stands out and the referral rates are, you know, it's been in the kind of 15% range has been very, very low.
Janet Lee: Alright, that's helpful. Thank you.
Don Kimble: Thank you.
Operator: And we will take another question from line of Saul Martinez with UBS. Please go ahead.
Saul Martinez: Thanks for squeezing me in. A couple of follow-ups. First, here on the prepaid card income, you just mentioned that, you know the majority of increase are for almost all the increase, you know [payments] come from that canes come from that and payments. Is it fair to say that, it seems like your guidance for fourth quarter still includes pretty elevated level of prepaid income and associated expenses? Is that correct and can you just help us understand what kind of magnitude is sort of baked into the fourth quarter?
Don Kimble: I would say both the revenues and expenses remain elevated, compared to the normal levels, but down slightly from what we have seen in the third quarter. And so, there's a number of different things would drive both the revenue and expenses. And we were seeing some of the activity levels for those areas declined slightly in our outlook.
Saul Martinez: Got it. And secondly, I wanted to go back to the earlier question on hedges, I want to clear if you blessed [indiscernible] or not, but you know, based on that, can you just help us understand what is the sort of NII protection that you're currently getting from your swamp of just doing the math on, you know, Slide 20? Seems like it's in the neighborhood of about 500 million or 730 million a quarter with a weighted average maturity of 3.4 years showing this, you know, rolls off over six, seven years, you know, which would imply sort of $82 million headwinds, you know, annually from just – and I say, no, this is assuming no replacements, and no other stuff that can do to offset it. But I mean, is that math broadly correct, if that's, you know, kind of the protection you're getting today, and the run-off will provide something close to say $80 million, $90 million, $100 million headwind annually, or is that completely off?
Don Kimble: Well keep in mind that as we look at our loan portfolio 70% plus is variable. That's different than many of our peers, and so if you look at the swap book that we have, it really is to shift the actual net adjusted position to be more in-line with peers as far as that overall [6 percentage]. I would say, as far as the math, I think we're right around 27 basis points of our margin this quarter, relates to the benefit from interest rate swaps, and so the math probably isn't too far off.  I'd have to go back and recalculate all those numbers to make sure that we're [indiscernible] things there, but that is, if you just look at that one light item would be correct. But keep in mind that we were also seeing a corresponding reduction in our net interest income coming from those commercial loans that are LIBOR based that we use these to hedge that impact. And so, it's difficult to say just looking at that one-line item, what's the impact, but you have to look at the overall balance sheet and the move is on not only the asset side, but the liability side to see that the true impact is going forward.
Saul Martinez: Got it. All right. That's super helpful. Thank you very much.
Don Kimble: Thank you.
Operator: And with that, I'll turn the call over to the company for any closing comments.
Chris Gorman: Well, thank you operator. Again, we thank all of you for participating in our call today. If you have any follow-up questions, you can direct them to our Investor Relations Team 216-689-4221. This concludes our remarks. Thank you.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation. You may now disconnect.